Operator: Good morning, everyone. And welcome to the First Quarter 2022 Earnings Conference Call for LightInTheBox Holding Co. Limited. Today's conference is being recorded. At this time, I would like to turn the call over to Mr. Rene Vanguestaine for opening remarks and introductions. Please go ahead, sir.
Rene Vanguestaine: Thank you, Sara. Hello, everyone and welcome to LightInTheBox first quarter 2022 earnings conference call. The company's earnings results were released earlier today and are available on the company's IR website as well as through PR Newswire. On the call from LightInTheBox are Mr. Jian He, CEO; and Ms. Yuanjun Ye, Chief Financial Officer; and Ms. Wenyu Liu, Chief Growth Officer. Mr. He will give an overview of the company’s strategy and recent developments followed by Ms. Ye who will go over the financial results. They will all be available for the Q&A session that will follow.  Before we proceed, I would like to remind you of our Safe Harbor Statement. Please note that the discussion today may contain certain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. To understand the factors that could cause results to materially differ from those in the forward-looking statements please refer to our Form 20-F filed with the Securities and Exchange Commission. We do not assume any obligation to update any forward-looking statements, except as required under applicable law. At this point, I'd like to turn the call over to Mr. He. Mr. He, please go ahead.
Jian He: Thanks Rene and thank you everyone for joining us today. After the festival season, at the end of the calendar year and into the new year, the first quarter is traditionally a slower time for the e-commerce industry. We had a very challenging first quarter of 2022 which is due to the continuous spread of Omicron variant in China. Manufacturing and logistics were delayed as multiple suppliers could not rejoin daily operations where restrictions were imposed in certain regions. But thanks to our effective response mechanism, prevalent business model, and the strong implementation capabilities we were able to take concrete actions to minimize the impact of our supply chain.  Total revenues for the first quarter were 93.8 million compared with 112 million in the second quarter of 2021. Orders were 15.7 million where you can see this at the end of March 2022 and were well received by customers during Q2. Apparel has clearly become our most popular categories and there's a primary one that we have continuous study invested in and allocated more resource to. During the first quarter revenues from apparel increased by 13.7% year-over-year to 67.2 million representing 71% of total revenue up from 52.8% in the same quarter of 2021. Our gross margin, financially the trends are changing in product mix improving to 15.7% compared with the 46.6% year ago. If you do the apparel sales will make up the majority of total revenues for the full year of 2022. The current challenges we are facing have actually provided us with upside opportunities. Lastly, in response to economic change, similar restructuring and a better coordination of all our capabilities has helped us to withstand a multiple economic uncertainties and the external pressures. As a result, our organization has become more flexible and stronger.  Secondary regarding continuing global uncertainties we have proved the effectiveness of our long-term growth strategies, which have generated higher efficiency and solidified our long term financial -- suppliers. This strength has given us the ability to constantly improve our product mix, and to offer more value for money and quality products, our shopping platforms really respond to customer feedback. Although the first quarter of 2022 has brought us unprecedented challenges we believe it's important to have a long term mindset [indiscernible] proven strategies while maintaining flexibility and navigating uncharted [indiscernible] circumstance or adding short term dynamics, strive to continuously improve our overall operational efficiency. And to better serve our global customers. I would like to turn the call over to Yuanjun Ye. Yuanjun, please go ahead.
Yuanjun Ye: Thank you, Mr. He and thank you everyone for joining the call. I will now review our financial results for the first quarter. Please be reminded that all numbers reported are in the U.S. dollar. In the first quarter, our total revenue was 93.8 million down 16.3% year-over-year from 112 million due to the pandemic prevention measures impacting the supply chain. Despite the drop in total revenue, our product mix became more optimized as we focus on higher margin apparel categories. Apparel had a solid increase of 13.7% to 67.2 million from 59.1 million in the same quarter of last year, representing 71.7% of total revenue up from 52.8% a year ago. Benefiting from our growth in apparels, gross margin increased to 15.7% from 46.6% year-over-year.  To echo what Mr. He just said, in the face of tough challenges and economic uncertainties, our core values have not changed. We have become stronger as a company while remaining completely committed to serve our customers with the best value for money products and a great shopping experience on our platform. Total operating expenses were 53.9 million, compared with 50.9 million during the same quarter of 2021. Included in operating expenses, selling and marketing expenses increased 10% to 39 million as a result of the negative impact from the pandemic. Our R&D expenses in the first quarter remain stable compared to last year at 4.6 million. As we have stated before, continuous improvement to our customer’s shopping experience is core to the success of our business.  Regardless of the uncertainties or challenges they had, after more than 10 years of experience and a cross border e-commerce sector, we believe we are well positioned to swiftly respond to any dynamic situation. We remain confident that we will soon resume course to a healthy growth trajectory. This concludes our prepared remarks. At this point, we are ready to take some questions. Operator.
Rene Vanguestaine: Thank you, Sara. This concludes our first quarter 2022 earnings conference call. Thank you for your participation and ongoing support to LightInTheBox. We look forward to providing you with updates of our business in the coming weeks and months ahead. Have a good day. 
Yuanjun Ye: Thank you.
Operator: Thank you. This does conclude the conference for today. Thank you for participating and you may now disconnect.